Christian Becker-Hussong: Yes. Thank you, Lisa. Good afternoon, everyone. Welcome to our Third Quarter 2016 Earnings Call. Today's speaker is Joerg Schneider, our CFO. There will be no further introduction on our end. So, we can go right into Q&A, and please limit the number of your questions to a maximum of two per person as always, please. Please go ahead.
Operator: Thank you. [Operator Instructions] We will now take our first question today from Thomas Seidl of Bernstein. Please go ahead. Your line is open.
Operator: Our next question comes from William Hawkins of KBW. Please go ahead.
Operator: Our next question comes from Kamran Hossain from RBC. Please go ahead.
Operator: We'll now take a question from Sami Taipalus calling from Berenberg. Please go ahead.
Operator: We'll take a question now from Frank Kopfinger from Deutsche Bank. Please go ahead.
Operator: Our next question comes from Vinit Malhotra calling from Mediobanca. Please go ahead.
Operator: We'll now take a question from In-Yong Hwang of Goldman Sachs. Please go ahead. Your line is open.
Operator: Our next question today comes from Xinmei Wang calling from Morgan Stanley. Please go ahead.
Operator: Our next question today will come from Michael Haid calling from Commerzbank. Please go ahead.
Operator: Our next question today comes from Andrew Ritchie from Autonomous. Please go ahead. Your line is open.
Operator: We'll take our next question today from Thomas Fossard from HSBC. Please go ahead.
Operator: Our next question comes from Guilhem Horvath calling from Exane. Please go ahead. Your line is open.
Operator: Our next question today comes from Michael Huttner of JPMorgan. Please go ahead.
Operator: We'll now take our final question for today from Olivia Brindle from Bank of America. Please go ahead.